Operator: Greetings and welcome to the ABM Industries, Inc. First quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Paul Goldberg with Investor Relations. Thank you, Mr. Goldberg. You may begin. 
Paul Goldberg: Good morning, everyone, and welcome to ABM's first quarter 2024 earnings call. My name is Paul Goldberg, and I'm the Senior Vice President of Investor Relations at ABM. With me today are Scott Salmirs, our President and Chief Executive Officer; and Earl Ellis, Our Executive Vice President and Chief Financial Officer.
 Please note that earlier this morning, we issued our press release announcing our first quarter 2024 financial results. A copy of that release and an accompanying slide presentation can be found on our website abm.com. After Scott and Earl's prepared remarks, we will host a Q&A session.
 But before we begin, I would like to remind you that our call and presentation today contains certain predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements and they represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are inherently subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in a slide that accompanies our presentation as well as our filings with the SEC.
 During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of historical non-GAAP numbers to GAAP financial measures is available at the end of the presentation and on the company's website under the Investor tab.
 And with that, I would now like to turn the call over to Scott. 
Scott Salmirs: Thanks, Paul. Good morning, and thank you all for joining us today to discuss our first quarter results. We're off to an excellent start in 2024. First quarter revenue increased 3.9% to $2.1 billion, all of which was organic growth. Our aviation team is doing a great job of leveraging ABM's leading position in a robust travel market, winning significant new business with both airports and major airlines, which I'll speak more about later.
 Manufacturing & Distribution and Education also both generated solid revenue growth in the quarter, with M&D capitalizing on positive demand trends and an effective sales strategy. Despite some project delays and winter weather interruptions, Technical Solutions grew revenue double-digits, driven by the closeout of several battery energy storage system projects in Q1. We were pleased to sign a large contract with a leading national retailer at more than 150 sites over a multiyear period. This is a large and exciting program for us, showcasing the breadth of capabilities that ABM can now offer.
 It's also a testament to our RavenVolt team as this contract represents a significant expansion of our relationship with this particular client, both in the scope of services and the number of sites. Our B&I business remained resilient, benefiting from end-market diversification and from strong cost management. B&I's revenue was essentially flat year-over-year, reflecting softer demand within the commercial real estate market. We also continued to effectively push pricing across our business, resulting in adjusted EBITDA and margin that were consistent with our expectations. As a result of the recognition of certain discrete tax benefits and our solid Q1 operating results, we are raising our full-year outlook for adjusted EPS, which Earl will discuss in more detail.
 I'll now discuss the demand environment within each of our industry groups. Let's start with B&I. Office density and vacancy rates remain largely unchanged from 3 months ago, with density at 50% plus and vacancy at approximately 20%. While we're not expecting material changes in office utilization trends over the next few quarters, we believe there will be a gradual increase in the time employees spend at the office over the next couple of years.
 In this operating environment, we remain confident in B&I's resilience. We continue to focus on better-performing Class A office space, while providing a broad mix of services, including engineering and parking. Our strategy continues to largely mitigate ongoing pressure within commercial real estate market and enhance our long-term growth opportunities. For example, we saw double-digit revenue growth in our sports and entertainment business, driven by strong consumer demand for live sports and concerts. I'm so proud that the ABM team was responsible for facility services at the Super Bowl at Allegiant Field in Las Vegas last month and did an amazing job.
 Additionally, we recently won a multi-year contract for facility services at Chase Field in Arizona, the major league home of the Diamondbacks, and we're pursuing opportunities at several other sports and concert venues. Looking forward, we believe we will outperform the underlying commercial real estate markets given our flexible labor model, cost management efforts, and the diversity of our service lines and clients.
 Moving to aviation. The leisure business travel markets, including international travel, have remained strong and we've continued to win new business, including a large janitorial contract at Tulsa Airport and an airline cabin cleaning contract in Boston with more on the way. One reason for our success is our branded ABM Clean service offering, which is gaining significant traction in the market. ABM Clean is a technology-driven, demand-based cleaning service that integrates data from beacons, guest and user feedback, as well as from real-time flight schedules, which allows our on-the-ground teams to deliver enhanced outcomes for our clients and a better travel experience for the public.
 Because it's demand-based as opposed to schedule-based, ABM Clean adapts to the dynamic conditions in the airports. We believe ABM is the only company in the industry that can self-perform operations and provide designed-for-purpose technology, which can be fully integrated into our client systems. We currently have ABM Clean up and running at 10 locations with several other airports and airlines interested in our innovative solution. To demonstrate our capabilities in the aviation market and the advantage of our solutions, we will host a small analyst tour at LaGuardia Airport Terminal B in late April. Terminal B was named the world's best new airport terminal at the 2023 World Airport Awards. Please let Paul Goldberg know if you're interested in attending.
 Moving on to Manufacturing & Distribution, demand has remained solid, reflecting a favorable industrial economy as well as our focus on expanding our service offerings and presence in fast-growing markets like biopharma, semiconductor and industrial manufacturing. As I've mentioned on prior calls, we knew a large and valued M&D client would rebalance a large portion of their work needs in 2024 as part of their normal procurement process and changes in their overall strategy. This process is largely done and our initial estimates of the rebalancing were reasonable and our full year forecast accurately incorporates the anticipated impact.
 We continue to be focused on gaining new clients, expanding our relationship with existing clients through new locations and services, and pursuing opportunities in other end markets. We expect the segment to generate mid to high single-digit annual revenue growth over the midterm. However, 2024 will reflect the impact of the rebalancing.
 Moving to Education, markets remain solid and we're effectively managing labor costs. While we face tough comparables in the back half of 2024, as some big wins in 2023 [Technical Difficulty], we continue to work diligently to win new business and lead with our APS self-perform platform.
 Moving to Technical Solutions. Segment backlog is now approximately $590 million with the addition of $180 million of new microgrid business from the contract I mentioned earlier. This well-known retailer selected ABM to enhance their energy resilience at more than 150 of their locations over the next few years. We will accomplish this through the installation of individually customized microgrids at each site. This project also provides us the opportunity to cross-sell additional services like maintenance and EV infrastructure over the coming years as the systems at each location become operational.
 In total, EV and microgrid services now represent nearly 2/3 of APS's backlog. Additionally, backlog for our bundled energy solutions offering improved on a sequential basis. While modest, this improvement may indicate a positive shift in market sentiment. Although, we expect the overall market to remain challenging in 2024 due to the interest rate environment. Our acquisition of RavenVolt has significantly expanded our growth opportunity it ATS and we believe can build our positive momentum going forward. While the exact timing of project closeouts can vary quarter-by-quarter based on externalities such as weather and permitting, we are confident in our leading-edge technology and that our outstanding team will continue to win new business and deliver improved results. As we grow and scale over the next few years, we expect the quarter-to-quarter variability to dissipate.
 Turning now to our ELEVATE initiative. Following the successful financial close on our new cloud-based ERP system for the Education segment last year, we plan to implement this system for B&I and M&D later this year. Much of our ELEVATE efforts are centered around this implementation, which includes enhanced capabilities for our operations and back office teams, including connection to several key systems such as procurement and payroll.
 We've continued to roll out ABM Connect, our team member mobile app that delivers on-demand training, safety moments, time clock integrations and task management thesis. Early feedback on this tool from our frontline team members and managers is super positive. When distributed at scale, we believe will drive higher levels of engagement for our team members and better outcomes for our clients, ultimately resulting in even higher customer retention rates.
 In summary, we're pleased with the start of the year and our positioning as we begin the second quarter. Our markets have generally been constructed despite an unsettled macro environment and the pressures on commercial real estate, and our teams have done a great job winning new business and satisfying our clients. While there is still much to be accomplished this year, we're focused on achieving our goals, supported by our cash-generating business, balance sheet optionality, and the best team in the industry.
 With that, I'll turn it over to Earl for the financials. 
Earl Ellis: Thank you, Scott, and good morning, everyone. For those of you following along with our earnings presentation, please turn to Slide 5. First quarter revenue of $2.1 billion increased 3.9%, all of which was organic. Revenue growth was led by Aviation, which was up 18%, and Technical Solutions, which grew 13%. Also of note, B&I, our largest segment, declined less than 0.5% despite market headwinds.
 Moving on to Slide 6. Net income in the first quarter was $44.7 million or $0.70 per diluted share, up 16% and 21%, respectively, versus last year. These increases were largely driven by lower year-over-year ELEVATE costs, the recognition of certain discrete tax benefits of $4.4 million or $0.07 per share, and higher segment earnings on higher revenue. These gains were partially offset by higher corporate investments, which were primarily technology-related, and the impact of prior year self-insurance adjustments.
 Adjusted net income of $54.8 million increased 4% and adjusted earnings per diluted share of $0.86 was up 9% over the prior year period. The year-over-year increase in adjusted net income primarily reflected certain discrete tax benefits and higher segment earnings, including the benefit from price increases, partially offset by higher corporate investments and increased interest expense. The growth in adjusted EPS is due to higher adjusted earnings on a lower share count, driven by our share repurchase activities last year.
 Adjusted EBITDA declined 5% to $116.7 million and adjusted EBITDA margin decreased 50 basis points to 5.9%. These year-over-year changes were generally in line with our expectations, reflecting higher investments as well as adverse project mix in Technical Solutions.
 Now, turning to our segment results, beginning on Slide 7. B&I revenue decreased less than 0.5% to $1 billion as strong demand in sports and entertainment and solid results in parking offset most of the impact of softer demand in the commercial real estate market. Of note, we expect B&I revenue to be down low single digits in Q2 on a year-over-year basis as certain clients transition to new suppliers, as a result of our disciplined price and margin strategy. Operating profit in B&I increased nearly 5% to $79.6 million and operating margin improved to 7.7% as positive business mix, price increases and cost actions more than offset sluggish demand dynamics in commercial real estate.
 Aviation revenue grew 18% to $249.5 million, once again driven by strong demand for leisure and business travel and new business wins. We expect demand within our Aviation segment to remain robust. Aviation's operating profit was $9.7 million versus $8.3 million in the prior year, and operating margin was unchanged at 3.9%. This performance included improved labor utilization, which was largely offset by approximately $2 million of costs related to reconciliations under customer contracts completed in prior years. Absent these costs, operating margin would have exceeded 4.5%.
 Turning to Slide 8, Manufacturing & Distribution revenue grew 5% to $400.9 million, reflecting broad-based demand. Operating profit increased to $41.3 million, while operating margin declined 40 basis points to 10.3%. Profit and margin performance was largely due to changes in customer mix. Education revenue increased 2% to $220.1 million, benefiting from the addition of new clients earlier in the year. Education operating profit was $12.7 million, up 8% over the prior year period, while margin increased 30 basis points to 5.8%. These increases were largely attributable to a modestly improved labor market that resulted in reduced overtime expense.
 Technical Solutions revenue grew 13% to $165.9 million, largely due to closeouts of a number of battery storage projects executed by RavenVolt and growth in our mission-critical and power business. As Scott noted, Technical Solutions backlog exceeded $590 million at the end of the first quarter, with about 2/3 of it actionable within the year. Technical Solutions operating profit was $6.6 million and margin was 4% compared to operating profit of $7.2 million and margin of 4.9% last year. These declines were largely due to project mix. We expect ATS margin to climb higher as the year progresses.
 Moving on to Slide 9. We ended the first quarter with total indebtedness of $1.4 billion, including $58.2 million of standby letters of credit, resulting in a total debt to pro forma adjusted EBITDA ratio of 2.4x. At the end of Q1, we had available liquidity of $507.8 million, including cash and cash equivalents of $58 million. Free cash flow in the first quarter, which is our seasonally softest quarter, was in line with our expectations at negative $14 million. Interest expense was $21.3 million, up $1.5 million from the prior year period, driven by higher year-over-year interest rates. Our Q1 tax rate of 17.2% included certain discrete tax benefits of roughly $4.4 million. Finally, our current total authorization under our share repurchase program stands at $210 million.
 Now, let's move on to our full year fiscal 2024 outlook as shown on Slide 10. As Scott mentioned, we are raising our full year guidance for adjusted EPS based on the flow-through of the discrete tax benefits recognized in the first quarter and our solid Q1 operating results. We now expect full year 2024 adjusted EPS to be in the range of $3.30 to $3.45, up from $3.20 to $3.40 previously. All other elements of our outlook remain unchanged from our last quarterly call. Adjusted EBITDA margin is expected to be between 6.2% and 6.5%. Interest expense is estimated to be in the range of $82 million to $86 million and the normalized tax rate before discrete items is expected to be between 29% and 30%.
 Lastly, full year normalized free cash flow is expected to be in the range of $240 million and $270 million, excluding the estimated $45 million of ELEVATE and integration costs, with the majority being ELEVATE investments.
 With that, let me turn it back to Scott for closing comments. 
Scott Salmirs: Thanks, Earl. I want to thank our teams for a great start to the year. Our success reflects our resilient business model, the benefits from our ELEVATE investments, and consistent execution by the ABM team. As we move forward, I'm confident in our ability to build value for our stakeholders as we work tirelessly towards achieving our goals and evolving ABM into the technology-driven leader of facility services.
 With that, let's take some questions. 
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Tim Mulrooney with William Blair. 
Timothy Mulrooney: I wanted to ask about the guide really quick. You listed a couple of reasons for raising that guide in the press release. Among them was resilience in the B&I segment. Does that mean that your outlook for this segment has changed for the full year? Are you still kind of expecting that organic decline in the 2% to 3% range? 
Scott Salmirs: Yes. No, yes, we are still expecting that. I think, look, we feel even more confident in how we're going to perform and how we guided because as you saw for this quarter, we were flat year-over-year. But there's no question that it's realistic to expect low single-digit declines as we see some compression with our clients. But we feel really good about where we are, and we continue to see people come back to the office. So our outlook is positive, Tim, but in line with the way we guided. 
Timothy Mulrooney: Okay. That's helpful, Scott. I'm going to switch gears really quick. So I wanted to ask about this microgrid project you announced, obviously, a very big win, $180 million. My question is, how did that come about? Like, was this a retailer that was an existing client of yours that you introduced to the RavenVolt team? Can you also remind me like what the margins are on a microgrid project like this relative to maybe a more traditional leveled solutions project. 
Scott Salmirs: Sure. Yes. So it's an existing client, and it's actually a client that we have across other industry groups as well. So it was just a really great win for us. And especially when you're talking about installing these microgrids, which really consist of switchgear and generators across 150 different sites over multiple years, right? So we're excited about that, and it's going to have double-digit margins, right? The switchgear and generators are a higher margin profile than the projects that we did last year that actually ended up in this quarter, which were battery-related projects. Like if you looked at ATS this quarter, you saw a really great growth. But on the bottom line, it wasn't really up to what you would normally expect in ATS. And that's because the mix this quarter was around the large battery projects, which again doesn't have the margin profile that the national retailer project is going to have. And that's going to come back. And that's going to really manifest itself in the second half of the year, with the bulk of it being in '25. But it's super, super exciting for us. And our pipeline is huge, right? And I think we mentioned it, but if you look at the ATS segment, Tim, 2/3 of our backlog now is around microgrids and EV. So we feel we feel really a big sense of satisfaction that our thesis is proving out that these are the right areas to be in. 
Timothy Mulrooney: Got it. I could ask a lot more questions about that. That's really exciting, but I'll leave it here and hop back in the queue. 
Operator: Our next question comes from the line of Andrew Wittmann with Baird. 
Andrew J. Wittmann: I guess I'll keep going on ATS a little bit more here. And I guess, Scott, I wanted to just understand, there was a comment on some timing as it related to the margin performance in Technical Solutions. I don't think this is new, there's been like permit delays for some of these projects. Is that what you're referring to in this case here today in this quarter? And can you talk about how the projects that were previously delayed are proceeding? Do you have certain start dates for those contracts now? Or were those the ones that were maybe completed in the quarter? And in the case that you don't have great visibility on start dates for some of these projects, can you talk about what your options are to manage your profit margins while you wait for them to begin? 
Scott Salmirs: Yes, sure. I mean, look, no question that it feels like, I guess, even to the outside world that it could be a little frustrating, right? Because we're gravitating to on ATS is so much project-based. And when you're doing projects and they're weighted this way, you have weather issues to start. You have permitting issues to start, you have supply chains. So all these things, and even at ABM, we're getting used to this, right, with the RavenVolt acquisition and leaning into EV.
 So I think this choppiness is something that until we get really big scale in this area is just not going to smooth out. So we're going to have some lumpiness. But this quarter, it was really about the fact that the projects that happened in this quarter, it was really the projects that we talked about last year, which were the battery storage projects, and that's kind of the lower margin and of the microgrid work, whereas generators and switchgear is a higher margin end, and that we'll see towards the back half. So it is tough. We're not going to scale up and down SG&A quarter-by-quarter. It's not a quarter-by-quarter again. Andy, where I feel good is that the look back, when you look at FY'24 is going to feel really good on ATS. But quarter-by-quarter, it's just going to be choppy. 
Andrew J. Wittmann: Okay. That's a helpful perspective. So then I guess, Earl for you, I just wanted to make sure that I understood and we all understood a little bit about the guidance here and what changed. It feels like the discrete tax item for $4.4 million or $0.07 in the quarter was really the preponderance of the change given that the adjusted EBITDA number didn't change and all the other assumptions. So I just want to confirm that that's really correct.
 And then if you could talk to us a little bit about, I mean, there's always some level of discrete tax items in your results from the various tax credits and other things that you get. And so I was just wondering maybe if you could comment on, I know it's hard to guide on, but what a realistic range or what we should be thinking about for fiscal year '24 could be for those now that we have this extra one here in the first quarter? 
Earl Ellis: Yes. No, you're absolutely right, Tim. So when we look at the guide, sorry, Andrew, when we look at the guide, it really was the flow-through of 2 discrete tax items that generated about $0.07. And as a result, you can see that our midpoint in the guide has actually gone up $0.07. In addition to that, we felt confident actually rolling that through just based on the Q1 performance in the underlying business and the confidence that we actually have in our performance for the balance of the business. So that really is the story around the guide. As far as tax, these 2 discrete items came about by our normal kind of like quarterly review of our tax provisions across a multiple number of jurisdictions. As we look towards the full year, we don't anticipate any sizable discrete items outside of the ones that were actually accrued for in the quarter. 
Andrew J. Wittmann: Great. That's also helpful. I'm going to ask one more here because I'm feeling like there's probably not that many questioners in the queue. And I guess I just wanted a little perspective on your sports and entertainment business. I guess in the past, I haven't asked a lot about this business, but I've seen over the last few years, you've been picking up more sites here. So I think maybe it's time to talk about it a little bit. Can you help us understand the size of the sports and entertainment business inside of the B&I segment? And maybe if you could talk about, it feels like it was an unusually good quarter. Obviously, saying Super Bowl is, that seems flashy and interesting. But one event doesn't make a quarter. I'm just wondering if there's any other way to talk about how just attendance or of the calendar, if you would, benefited the quarter just so that we have an understanding of what it could mean a year from now when we have this as the comp. 
Scott Salmirs: Yes. That's good. To give you context, look, it's probably like $100 million odd in revenue. But why we get so excited about it is it's been having double-digit growth. And if you look at all the major stadiums that have opened in the last few years, I think we've gotten all or 90% of them because of how good we do in this. And I think the Super Bowl is in New Orleans next year, and we have that as well. So it's going to be, I think, we're 4 for 4 in the last 4 Super Bowls of taking care of it. So we just get a lot of pride around that. So it's not from a revenue standpoint across our $8 billion in revenue. It's not earth shattering. But it's pretty exciting, right? And it does speak to the fact that people are back at venues. And so it's growing, and we expect it to continue to grow double digit. So, yes. 
Andrew J. Wittmann: Okay. Great. Appreciate the perspective, guys. Have a good day. 
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank. 
Faiza Alwy: So I wanted to talk about the Aviation business first. It looks like you've had very strong growth for the last few quarters. And the tech-enabled solutions that you talked about, Scott, sounds very interesting. I'm curious how we should think about that business from here? Obviously, you have some new wins. And also, I know you've been spending on technology for some time investing behind sort of some of these new solutions. So talk about maybe other areas where you're developing solutions that might be helpful and interesting going forward? 
Scott Salmirs: Sure, sure. So look, we are super excited about our Aviation segment. We were in a pretty rocky place 3 or 4 years ago, and our team is phenomenal. We've been getting double-digit growth over the last couple of years, and we continue a lot of our press releases on these big wins that we're getting, and we think there's more to come. So it's a really exciting space for us. And we've also talked about the fact that we're shifting more towards airports than airlines, which are a little bit more stable.
 And so we're really excited about this. The technology is clearly, Faiza, as you know, it's baked into our numbers. It's developed. And we'll always continue to enhance it. But it's super cool to think that our people in the airport are getting signals from beacons, telling them where the activity is, where to go, and it's game changing. And I mentioned in my comments, we're already in 10 sites and a lot of demand for more of this. So it proves out that if you can add technology to your value proposition around the fact that we're good at execution, we're good at relationships and now to add technology, we think it's game changing. And this all part of our ELEVATE initiative and parallel to what we're doing in Aviation, we're piloting now in B&I and M&D, the same type of concept that's just emerging.
 And I guess the last comment I'll have about this, what we haven't yet seen on scale yet is what this is going to do from a workforce management standpoint in terms of labor efficiency and directing people where to go to be more efficient. And as that happens over the next 1, 2, 3 years from now as this develops, again, what you're going to start seeing in our labor percentages and how it gravitates to the bottom line, we think it's going to be compelling. So we feel like ABM Clean is one of the first steps towards our path on ELEVATE. 
Faiza Alwy: Great. And then you mentioned pricing. I believe it was in the context of B&I. But just curious how you're thinking about pricing from here? Has anything changed? Are you able to take higher pricing? I believe there were also some union contracts that maybe were slated to renew this year. So just talk a little bit about sort of pricing and the dynamic between pricing and labor costs. 
Scott Salmirs: Look, we remain as disciplined as ever on recovering pricing, right? We've said in the past, we're recovering 75% to 80% of the increases that we're seeing on wages. And so far for this year, we're seeing a little bit of a tick down on the wage growth, which is a really good sign. And also a significant amount of collective bargaining agreements have been settled over the last few months and where they're coming in is actually reasonable as well.
 So it's not like we have to go back to clients and ask for 7% or 8% increases, which is really nice for us, right? So we feel like we're in a good place. And just to round out the conversation, Faiza, I will tell you, so much of this is also cultural, right? Getting your teams to understand that we have to capture these price increases because we're working hard out there. We're providing value. And when wages are going up for our teammates, they have to be passed along to the clients. And it doesn't hurt the fact that our clients are seeing that in their businesses as well. So to make a long story short, we remain disciplined on capturing price increases. 
Operator: Our next question comes from the line of Josh Chan with UBS. 
Joshua Chan: I know that you don't guide to revenue, but you had a pretty good result in B&I this quarter. You won that contract in ATS. Aviation continues to be strong. Does it feel like your revenue backdrop is getting a little bit better than expected compared to a couple of months ago? If you could just kind of talk about that? 
Scott Salmirs: No, I don't think we have a dramatic change right now. I think we're asking you guys to channelize what we're feeling here, which is 1 quarter down, feeling incrementally more confident in how we guided and where we see the business. And it's almost like kind of detoxing the risk associated with B&I because you mentioned B&I. And I think there was like an overhang out there, like how bad could this be? Could this be worse?
 You read in the papers every day that the world is coming to an end when it comes to commercial real estate. And we've been consistent in saying we didn't think that was going to happen. And especially when you look at ABM, where we focus on Class A properties, which, again, even in the media, it's validating that tenants in B and C properties are gravitating to A properties, right? So we feel super confident that between the asset class that we're focused on Class A and the fact that we have this flexible labor model and if a client goes from 5 floors to 4 floors, we do have the ability to release the staff on that fifth floor and maintain our margins. And you've seen that come through even in this quarter, where we hold or even raise margins. So we're feeling really good. 
Joshua Chan: That's great color. And I guess if I can ask about Technical Solutions. You mentioned that there will be quarter-to-quarter volatility, but at the same time, margins should improve through the year. So could you just kind of frame for us what the margin trajectory could be like over the next couple of quarters as we take a look at ATS? 
Scott Salmirs: Yes. Look, I think on a high level, if you look historically at ATS, it's always been like a 35%, 65% first half, back half story. And a lot of that has to do with seasonality, right? Because we recognize revenue and profitability when we turn a ranch. And it's tougher to turn ranches in the winter where it becomes hard in education when kids are in school. So it's typically a back half story. So you'll see the trajectory of margins and revenue happen in the back half of the year, just like it always does. So we don't give margin guidance, but it will certainly be stronger than it is right now. 
Operator: Our next question comes from the line of Jasper Bibb with Truist Securities. 
Jasper Bibb: On the ELEVATE initiatives, I think you said targeting B&I and M&D migrating to the ERP platform in 2024. Does that represent like a faster pace of deployment than you anticipated going into the year? And if everything goes to plan there, where do you think you'd be by year-end as far as realizing the targeted cost saves from ELEVATE? 
Scott Salmirs: So you're absolutely right. The next deployment of our OCF Oracle Financial Cloud is scheduled for early next fiscal, and that will include both B&I and M&D. That's pretty well on pace with our plan. So no change from a scaling perspective. And then as we mentioned, to kind of like de-risk the deployment, we're actually going by IG by IG. So we anticipate that shortly thereafter, we'll actually be able to incorporate our legacy able business into that. And then subsequent to that, will be aviation and our technical solutions. So everything is on track from both a spending perspective as well as the benefit case. 
Jasper Bibb: Okay. Understood. Just wanted to get your updated thoughts on capital returns. The last quarter, you bought back I think 4% of shares at $41. stocks around that level now again, but didn't buy back any shares in the first quarter. So just how should we think about share repurchase and capital return over the balance of the year? 
Scott Salmirs: Absolutely. Let's put it this way, we feel really good about our strong cash flow. And if you look at this quarter, which Q1 is typically the lowest net cash flow quarter of the year. When we look at the full year, we anticipate still on pace to deliver the $240 million to $270 million of cash flow, excluding kind of like ELEVATE and integration costs. And that, combined with our relatively low leverage ratio, we finished the quarter at 2.4 just outside of kind of like the low end of our range. So we feel really good with the capabilities that we actually have to continue to do opportunistic share buybacks if that case warrants. At a minimum, we'll be doing kind of like the anti-dilutive buybacks in the next quarter or so. 
Jasper Bibb: Got it. Last one for me. I just wanted to ask about the EV business. You've had really good growth there. the last couple of years, but message this year being a bit more flat with just, I guess, slower rollout to customers. Do you see any change there as far as the pipeline or just the tender or client conversations in the EV business? 
Scott Salmirs: Yes. Look, it's been a little slower than we would have liked. But we were focused on, and this is maybe old news because we've talked about, we've been focused on the dealer side, car dealerships. And that slowed down a bit, and we're gravitating more towards fleet, bigger scale projects. And it just does take time, right? But like in terms of EV sentiment and where we're going, we still are so, so enthusiastic about where this will be over the next few years because you read some of the headlines about the feelings of pulling back, but the addressable market is massive. It's still happening, and it's where the future is. So we're kind of rebooting and have been in the process of rebooting our strategy towards larger fleet projects. So I think that's going to manifest itself over time. And I suspect '25 will be stronger than '24 and '26 will be stronger than '25, but it's been a slow role for us because of the fact that the dealerships have definitely pulled back a little bit. But make no mistake, we feel like we picked the right swim lane when we think about EV and its future. 
Operator: Our next question comes from the line of David Silver with CL King & Associates. 
David Silver: My first question, I'd have a couple of things maybe to ask about Technical Solutions this quarter. So you have discussed it. But I guess I was just kind of wondering why the margins weren't just a little bit stronger this period. In other words, you did mention closeouts on a number of microgrid projects. And I don't know, my understanding is when you close something out, you resolved some contingencies and a certain amount of incremental profit can get released with the closeout. And then maybe bigger picture, but with the closeouts and with the big new contract that you signed, I'm thinking about the earn-out or the total incentive compensation that ABM may be responsible for this year. So I do believe the targets are EBITDA-based. And last year, there were some adjustments for a lower EBITDA outcome than envisioned in the original purchase agreement. So could you just maybe touch on maybe the first thing with the closeouts and the profit impact of that?
 And then secondly, what's the outlook for the RavenVolt unit hitting or exceeding that EBITDA threshold for a larger earn-out? 
Scott Salmirs: Sure. So look, you're right. we talked about this a little bit a few minutes ago, but it's the same thing. This is really a function of the mix of business and timing of the project. So the reason that you saw a little pressure on the margin on the ATS segment was that the mix of work this quarter was such that it was a lower margin segment of the business. And don't forget we still have continued pressure on our bundled energy solutions project because of interest rates. So for us, David, there's no warning signs as it relates to ATS. RavenVolt has been growing like unbelievably, if you think about kind of where they were when we did the acquisition versus where they are today with their pipeline and how we believe they're going to finish the year. I mean it's a massive growth from year-over-year. So super, super excitement around this. And we are not focused on profit margin quarter-by-quarter. We just can't do it just because of the timing of projects, but I know Earl wants to take the second half of that question. 
Earl Ellis: Sure. Yes. So David, as it pertains to the earn-out on RavenVolt, that's something that we kind of like value on a quarter-by-quarter basis. And therefore, when we look at kind of like the projection for the balance of this year and into the future, we saw no changes since the last valuation. Now having said that, just to remind you that when we actually did the deal model, the deal model actually checked out very, very positively even without that earn-out. So we continue to feel very, very confident [Technical Difficulty] that we're getting through this acquisition. 
David Silver: Okay. I apologize if I missed this next one before earlier in your remarks. But you did call out the ABM Clean program and provide some details of that, which I appreciated, including the differentiated aspect of it. Could I ask you to just do the same thing for the ABM Performance Solutions offering that you highlighted in the press release, please? 
Scott Salmirs: Sure. And ABM Performance Solutions is not technology-based, right? ABM Clean is more technology-based, ABM Performance Solutions is really the best way to think about it, just to put it in layman's terms, it's the concept of bundling self-perform services. So the one thing that we can do that others can't is we can go to a client and say, there's a range of services that you contract for and you're subcontracting those services to a range of other providers, we can do all of the service in a self-perform way where we're controlling the cost, the quality and reporting right to you versus having a whole host of different contractors.
 And it becomes really compelling because for a client, there's certainty on budget, on execution when you hire someone like ABM and say, "No, no, we do that. We don't have to hire somebody else to do that." And we're getting a tremendous amount of traction. And what I would urge you to do, David, is go on our tour next month at LaGuardia. And you're going to see, like you're going to walk through Terminal B, which again is the best terminal in the world, you're going to walk through there, and you're going to see so many service providers doing things from wayfinding people to say which gates they're at, cleaning, the engineering, you bump into so many people, and we're going to be able to say ABM person, ABM person, ABM person, and that's the beauty, versus saying, "We do this one service here and everybody else is a whole host of the service providers." And I think that's what it became so compelling to the LaGuardia management team is to be able to control the quality and control the spend by having ABM. So take that tour and you'll really understand APS. 
Operator: Next question comes from the line of Marc Riddick with Sidoti. 
Marc Riddick: So in the interest of time, I'm going to keep mine brief as we're approaching the opening here. But I wanted to touch a little bit on a couple of things that you said in prepared remarks, one was around labor utilization in Aviation. I think it was and the other was a little bit of the labor market improvement or a relative improvement, I guess, I think that was in Education. Could you touch a little bit on that, particularly the utilization comment and maybe whether that is something that's transferable maybe in some of the other segments and something that you could see going forward? 
Scott Salmirs: Yes, yes. I'm so glad you brought it up because it is, look, it's probably one of the most exciting things we're working on at ABM because that's what we do, right? We don't manufacture anything. We're a labor company, right? So when you have the ability to integrate technology and best-in-class approaches to labor utilization, you just become more efficient and your cost of labor goes down. A great way to highlight that is just an overtime, right? If you're less efficient, you're going to be spending more money on overtime to get things done. We've seen our overtime come down in the Aviation segment as a result of ABM Clean. And as we roll out our pilots for the same type of technology in B&I, we're seeing labor efficiency. We just haven't gotten it to scale yet. So super excited about our technology that we're developing and piloting and how it's going to result in labor utilization, efficiency and savings. So more to come on that as we get proof points. But I'm glad you brought it up because I'm challenged to think what we're doing that's going to provide more benefit and excitement and getting efficient on labor, which is again what we do. And so that's where you're seeing the improvement, and that's how you're seeing technology tie into that.
 And then in terms of wage increases, which I think you were hinting at, like we are seeing a little bit of relief on wage increases as compared to the last couple of years. So if I were to look at our wage increases, sure, it's still more elevated than probably 2016 or '17, but as it compares to the last couple of years, we're seeing the trend go down a bit, which is great because, again, it makes it an easier ask when you go to your clients for price increases. 
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to CEO, Scott Salmirs for closing comments. 
Scott Salmirs: Yes. I just want to thank everybody for getting on the call and following the story. We're excited about everything that's going on here. And again, hopefully, the first quarter result shows you that we have the confidence in how we guided and what we're doing and enthusiastic about getting back on the call in Q2 and giving you an update and hope to see a bunch of you at our tour at LaGuardia to really get a tangible, tactical feel of what we're doing in the field when we're self-performing multiple services. So thanks, everybody. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.